Operator: 00:05 Good day, and welcome to the National CineMedia, Inc. Q4 and Full-Year 2021 Earnings Conference Call. Today's conference is being recorded. 00:13 At this time, I'd like to turn the conference over to Mr. Ronnie Ng, CFO. Please go ahead, sir.
Ronnie Ng: 00:18 Thank you. Good afternoon, I'm joined today by our CEO, Tom Lesinski. 00:24 I would like to remind our listeners that this conference call contains forward-looking statements within the meaning of Section 27A of the Securities Act of 1933 as amended and Section 21E of the Securities Exchange Act of 1934 as amended. All statements, including our discussion about the future impacts of COVID-19 other than statements of historical facts communicated through during this conference call may constitute forward-looking statements. These forward-looking statements involve risks and uncertainties, important factors that could cause actual results to differ materially from the company's expectations are disclosed in the risk factors contained in the company's filings with the SEC. All forward-looking statements are expressly qualified in their entirety by such factors. 01:13 Further, our discussion today includes some non-GAAP measures in accordance with Regulation G, we have reconciled these amounts back to the closest GAAP based measurement. These reconciliations can be found at the end of today's earnings release or on the Investor Relations page of our website at ncm.com. 01:33 Now, I will turn the call over to Tom.
Tom Lesinski: 01:36 Thank you, Ronnie, and good afternoon everyone. Welcome to our fourth quarter and full-year '21 earnings call. It has been a very active and productive quarter for National CineMedia as we successfully navigated through the unique marketplace challenges that have impacted our business for nearly 2 years. 01:53 I'm pleased to report that we've generated positive adjusted OIBDA for the first time in 6 quarters. In addition, we've strengthened our liquidity position and have begun to turn the corner operationally and once again are positioned for growth. With the strong box office performance since Labor Day weekend, cinema is back into the planning cycle of advertisers and their agencies. With this more consistent film release schedule and the record-breaking box office results of Spider-Man, cinema is once again providing the broad reach our clients have been accustomed to. 02:27 In fact Spider-Man's opening weekend had higher ratings than even with the Super Bowl now delivers. Given this cinema recovery we are very optimistic for 2022. For the first time since the start of the pandemic we're starting the year with meaningful upfront bookings, a packed and attractive film release slate and growing consumer demand to return to the theaters as COVID infections levels plummet and mask mandates come to an end. 02:56 During today's call, Ronnie and I will provide a high-level update on our company's enhance liquidity position and our progress to rebuild our cash flow and working capital back to normalized levels. I will also address how we've taken steps to expand, diversify and improve our business to enable us to capitalize on a strong '22 theatrical film slate with the return to exclusive release windows. 03:18 The effectiveness of our cinema network combined with our digital advertising platforms and exciting new audience driven data solutions have never been more valuable to advertisers as TV ratings continue to fall and new questions are being raised about consumer privacy. We will also discuss how we are once again aggressively competing in the TV upfront and scatter marketplaces and then we'll open the line for questions. 03:45 Well, I realize that the long-term success of our business does not hinge on one film. Sony's Spider-Man No Way Home had a meaningful impact on our ad business as well as the cinema business. Despite its release schedule of December 17, which coincided with the rise of the on the Omicron variant, Spider-Man broke multiple attendance records and demonstrated the cinemas cultural impact and ability to create huge marketing and PR awareness for a film. Spider-Man is currently the third highest grossing domestic film of all time, with most of its attendance coming with Omicron cases were surging and the severity was still unknown. It enjoyed the biggest domestic December opening of all time at $260 million and was the first film to gross the billion mark out worldwide since 2019. 04:36 The initial theatrical trailer garnered 355 million global views in a 24-hour period, topping Black Widow, Avengers Infinity War and Star Wars, The Last Jedi. Early ticket sales overwhelmed ticketing selling platforms such as Fandango, movietickets.com, the AMC and Regal sites and first day ticket presale broke pandemic records for AMC and Cinemark. 05:01 The film franchise has a social fan base of over 1.5 billion followers with the film primer hosted by TikTok garnering 50 billion views. The most important statistic of note when speaking with the advertising community is that Spider-Man’s opening weekend delivered a larger 18 to 34 year old audience in the 2022 Super Bowl with a rating of 28.3 compared to the Super Bowl rating of 24.1. This data point coupled with commanding reach statistics along the moviegoer journey from trailer to take a pre-sales to opening weekend and beyond has been a powerful selling tool in the recent scatter market, and more importantly during our preliminary '22, '23 upfront meetings. 05:45 Blockbuster theatrical releases bring enormous scale and cultural influence, especially among the highly coveted Gen Z and millennial consumers, which is very important to our advertising clients. This demonstrates the power of the cinema platform as a marketing launch pad, something that TV and streaming platforms just cannot provide to movie studios and producers. 06:09 In addition to Spider-Man, we saw young diverse audiences come out and droves for other fourth quarter releases such as Venom, Eternals, No Time to Die, Ghostbusters and Dune. Nearly 1 in 2 adults aged 18 to 34 went to the movies in the fourth quarter. In addition, the fourth quarter box office of over $2 billion was 75% of 2019 levels and 73% of the 5 year average for 2015 to 2019. This is a clear demonstration of the consumer demand for the big screen experience in the movie theater and we expect that trend to continue and strengthen through this year and beyond as the film release schedule deepens. 6:50 This years film slate is so promising that there may in fact be several titles that could follow in Spider-Man’s record-breaking footsteps. With 2022 potentially riving other record box office years. There are number of 10 fold films opening in the first half of the year, such as the Batman, March 4th. Morbius on April 11th, Sonic the Hedgehog on April 8; Dr. Strange on May 6th; Top Gun on May 27 and Jurassic World on June 10, as well as Pixar's Lightyear of June 17. This highly anticipated sales are driving significant social buzz and high interest as we discuss them with advertisers and they will get consumers back into the movie going habit before the summer vacation months. 07:35 It's also important to note that most film releases are confirmed for a 40 day exclusive theatrical window. As we saw in 2021, those films that opened exclusively on streaming services or day-and-date with cinema did not benefit from the huge marketing and PNR exposure provided by a broad initial theatrical launch. Now the streaming and other downstream platforms will once again be able to take advantage of the powerful launch platform that an exclusive cinema release provides. 08:03 Even Netflix has begun to provide a short exclusive theatrical window for select films. An initial theatrical release will also significantly reduce the risk of piracy that accompanies an initial online release as Warner Brothers recently experienced with The Matrix Resurrections. 08:23 While macroeconomic headwinds associated with supply chain disruptions and inflation continue to persist. Overall consumer demand in the job market continuing to strengthen, we expect the advertising marketplace to remain robust and for GenZ and millennials to be the fastest growing consumer segment. Millennials already spent $1 trillion annually and that spending power will increase as their income reaches over $8 trillion by 2025 versus $6.4 trillion for Gen Xers and $1.1 trillion for baby boomers. This is great news for us as cinema is the best place for marketers to connect with this young and growing consumer segment. 09:02 Throughout the pandemic, we have worked very hard to maintain client and agency relationships and sell this value proposition so that we were well positioned as theatrical release schedule normalizes and audience returned to the cinema. While our ad revenue recovery has lagged the cinema box office recovery somewhat due to the inability to participate in the 2020 broadcast and calendar year upfront selling seasons, this trend began to reverse itself in Q4 and is expected to continue to reverse due to higher level commitments received during the recent 2021, '22 upfronts and the '22, '23 upfronts that are currently in the planning process. 09:39 While most -- while first quarter is seasonally a slower quarter, we are pacing in line with projections and significantly ahead of Q1, 2021, thanks in large part of this year successful upfront. Our 2022 calendar year upfront is currently tracking at similar levels that we previously shared with many deals still in active discussions. We expect most of the big brands who advertise with NCM in the past had made commitments to us again in '22 in addition to a few new brands, specifically in the crypto and online betting categories. 10:09 We will also benefit from a higher sell-through of our platinum ad unit, our newest and highest value inventory that runs closest to the start of the film. We sold the platinum units in November and December of '21 and we recently secured another platinum who come in from an advertiser and travel category during March of '22. As you may recall the platinum unit was introduced just prior to the start of the pandemic in the second half of 2019. Thus, we are anticipating higher revenue from platinum sales in '22 and beyond. In fact, it will be featured as part of our post-show time product mix during the upcoming upfront selling season beginning this month. 10:49 With the 2022 broadcast TV and 2023 calendar upfront season approaching, we have planned for a very aggressive marketing and sales campaign that features a series of in-person upfront meetings and film screening events. This spring, we are inviting marketers and media agencies in New York, LA and Chicago through exclusive live presentations, similar to the upfront meetings held by the TV networks in New York City in May, but much more intimate and focused on planning and buying decision makers, as well as our clients. 11:18 As media planners and buyers consider their option within the current media landscape, the power and importance of the theatrical advertising experience has great momentum after a strong Q4, anchored by the overwhelming success of Spider-Man. The trend of younger audiences abandoning ad supported linear TV and in some cases, never having watched it at all making cinema a very attractive TV GRP replacement vehicle. 11:44 In addition, while ad supported streaming is growing, it only represents approximately 9% of overall video consumption. And on any given week it provides for far less reach and overall effectiveness than cinema. The results of an ad effectiveness study we conducted in Q4 demonstrated that cinemas ad recall is approximately 3 times higher than TV or social media advertising. During our upfront events we will also make several new announcements to the advertising community and provide details on recent sales initiatives. 12:16 For instance, we have a new transformative data driven solution we've been testing that allows us to better serve advertisers key consumer segments using our extensive data and knowledge of moviegoers and their behavior. NCMs ongoing commitment to growing our datasets also allows us to utilize digital to deliver 1-to-1 addressability. Our digital platforms are well positioned in our current offering as the past 2 years have served as an opportunity to leverage digital advertising to help brands reach movie fans. This proved to be particularly effective with our local advertisers as a complement to the big screen campaigns. These integrated selling efforts during the pandemic had positioned us very well as the cinema business recovers in the coming months. We've already had several big integrated wins in the travel category in Q1 and we'll continue to focus on integrated selling throughout the year. 13:08 In October of '21, we launched a partnership with New Time Media, a media advertising sales representation company that focuses on the black and hispanic consumer to help us better serve marketers looking to reach African Americans and Hispanic audiences. Importantly NCMs audience is 42% diverse, with New Time we're bringing to market 2 highly targeted specialty cinema advertising networks, NCMs black cinema network, which includes 339 theaters with over 5,400 screens, expected to reach an audience of 11.4 million consumers monthly, as well as NCMs Hispanic cinema network, which includes over 449 theaters, and over 6,000 screens expected to reach 15.4 million consumers monthly. 13:55 Another area of strategic focus during our pandemic has been to re-imagine our Noovie pre-show by integrating into the show innovative content marketing opportunities for advertisers. In Q4 of '21, we began developing and producing new intellectual property, concepting ideas which would engage the movie going audience, while offering customizable sponsorships, integration and branded content platforms to advertisers. Even before the massive success of Spider-Man we leaned into the public's passion for franchises from the Marvel cinematic universe and DC Comics and created a superhero themed original content series called [The Movieverse] (ph) that were hosted by an array of social media influencers who discuss the upcoming films and editorial content. 14:37 Our Spiderman themed episode resonated with the public and drove a 17% increase in followers on Noovie social media. Throughout ‘22 our marketing, digital, research and sales planning teams will aggressively create and package new original and Studio IP and content led products for advertisers elevating NCMs capability as a creative media company. 14:58 During the pandemic, we also completed and launched our new cinema advertising management system that will allow us to more effectively utilize and price our inventory, short order to screen lead times, create more flexibility to meet advertiser budgets and maintain lower IT and operating staffing levels. It will also provide strategic scheduling capabilities, creating more equitable rotation across the network, including the ability to better optimize campaigns and flight. 15:26 This platform is an essential component to the foundation for future automation and programmatic offerings, both of which could significantly enhance our business. On the local and regional front, we completed the restructuring of our business model and selling organization to place more sales-focus on the larger markets favored by advertisers and increase gross margins of this segment of our business. We now have 4 major markets local and regional sales teams which will place more focus on larger client partnerships as smaller local businesses recover from the pandemic and begin to market their businesses more aggressively. 15:58 While advertising investment is picking up across the country, smaller local businesses are still challenged, while larger businesses within 3 key categories, government, education and healthcare have increased their share to now account for 62% of fourth quarter revenue for our local and regional business segment. Importantly, we have already started to see the benefit of this new implemented structure in the first quarter of this year. 16:23 The pandemic required us to make many difficult choices in balancing the business and financial needs of the company, while retaining a very high quality team and high quality relationships with our clients. We have rightsized and filled in staffing where needed and restored full pay for all NCM employees beginning in January of ‘22. As we continue to evaluate the short, medium and long-term needs of the business, we expect a stable workforce for ‘22 and beyond. I'm very, very proud of the job our entire NCM team did during the pandemic, and the hard work that continues. And I would like to sincerely thank them, our board and exhibition partners for their continued support as we navigate the evolution of our businesses together. 17:04 We believe that we're well positioned for the future as we continue to maintain strong liquidity and begin to shift our focus to growth by executing on a sales and operating plan that will bring the unparalleled marketing power to the movies and our desirable and growing audiences to marketers and their brands. 17:21 I'll now turn it back to Ronnie to discuss our financial results and conditions in more detail.
Ronnie Ng: 17:27 Thank you, Tom, and good afternoon everyone. National CineMedia finished the year on a strong note as we continue to accelerate the momentum from the third quarter into the fourth quarter. We experienced significant quarter-over-quarter and monthly sequential attendance growth during the fourth quarter. In addition, despite not having meaningful upfront sales, advertising demand increased throughout the fourth quarter as evidenced by our strong monthly sequential advertising sales growth. 18:01 Our sales fundamentals also continue to improve, with a higher average CPM and revenue per attendee compared to the prior quarter. The combination of our meaningful improvement in revenue and our continued strict expense management resulted in our first positive adjusted OIBDA and positive interest coverage quarter since the start of the pandemic. 18:31 Along with increased focus on better working capital management and capital allocation, our cash burn for the quarter was well below our guidance back in November. In addition, we also bolstered our liquidity position at the start of -- start of 2022, with the funding of a new $50 million revolving credit facility. Which when combined with our improved operating performance resulted in a ratings upgrade from S&P. 19:05 For the fourth quarter total revenue was $63.5 million, which increased 305% compared to the same period of the prior year and was more than double the revenue for the third quarter. In addition, our monthly revenue during the quarter strongly grew sequentially each month. This growth in revenue was achieved despite not having meaningful upfront sales for the period which limited our ability to fully monetize the record-breaking success of Spider-Man No Way Home. 19:41 In addition, for the first half of the quarter we continue to work through the typical lag between the return in theater attendance and increases in ad revenue as media buyers concerned about additional delays in film releases needed to confirm a critical mass of ad impressions before they make substantial ad commitments. 20:05 Our operating metrics continue to improve in the fourth quarter as total network theater attendance for the fourth quarter was $112.1 million, which was 48% higher compared to the third quarter and attendance grew sequentially each month during the quarter. Advertising pricing also improved with national CPMs slightly exceeding that of the fourth quarter of 2019 and was also up 38% compared to the third quarter of 2021. 20:40 National utilization rates for the fourth quarter increased approximately 637 basis points compared to the third quarter of 2021. As a result of the improving fundamentals our revenue per attendee excluding beverage for the fourth quarter grew by 35% compared to the third quarter. Fourth quarter operating expenses, excluding depreciation and amortization was $46.8 million, which was approximately $5.1 million higher compared to the third quarter. The increase was primarily related to the continued return of theater attendance, which resulted in higher theater access fees and affiliate expenses. As the pace of recovery continues to accelerate we also continue to monitor and manage expenses tightly to maintain savings that were captured over the last 2 years as we implemented many core operating efficiencies. 21:44 For the fourth quarter our core operating expenses averaged approximately $5 million per month compared to our pre-COVID run rate of $9.5 million per month or a savings of 47%. This also compares favorably to our third quarter average of $6 million per month or a 16% improvement. As we have mentioned before, while we expect these average monthly core operating expenses to increase somewhat as our business continues to trend back to historical levels some of these savings are expected to be permanent. 22:24 Total fourth quarter adjusted OIBDA of $18.4 million exceeded both management and average consensus expectations. This also compared favorably the negative $9.9 million in the fourth quarter of 2020 and negative $8.2 million in the third quarter of 2021. Again, this is the first quarter of positive adjusted OIBDA since the pandemic started at the end of the first quarter of 2020. The positive adjusted OIBDA reflects the revenue growth driven by the continued return of moviegoers and increasing advertiser demand combined with strict core operating expense management. 23:12 Our fourth quarter average cash burn rate was approximately $1.9 million per month, a substantial improvement compared to the third quarter of $11.2 million and much better than the optimistic end of our guidance for the fourth quarter of $3 million to $4 million per month given during our third quarter earnings call in November. Better than expected cash burn for the quarter reflect a continued revenue growth, tight expense management and improved working capital management. 23:48 For the full year 2021, National CineMedia generated $114.6 million in total revenue compared to $90.4 million in 2020, an increase of 26.8%. The increase was driven by the return of moviegoers, starting with the strong Labor Day weekend box office. Adjusted OIBDA for the full year of 2021 was negative $24.7 million, compared to negative $19.4 million in 2020, which was due to the positive adjusted OIBDA generated in the first quarter of 2020 that was mostly unaffected by the pandemic as movie theaters began to close in late Q1 of 2020. 24:38 Theaters were also close for a larger portion of 2020 compared to 2021, which resulted in lower theater access fees in 2020. It's important to note that these year-over-year comparisons understate the strength of the recovery in 2021 as our ad revenue for the last 9 months of 2021 has increased over 325%, versus the last 9 months of 2020. 25:09 For the fourth quarter we reported GAAP earnings per diluted share of $0.11 versus a loss per diluted share of $0.45 in the fourth quarter of 2020. For the full year 2021, we reported a GAAP diluted loss per share of $0.61 compared to a loss per diluted share of $0.84 for the full year 2020. For the full year of 2021, capital expenditures were $6.5 million compared to $11.2 million in 2020, a reduction of $5.7 million. This decrease was related to the completion of our cinema advertising management system in the first quarter of 2021 and the reductions of non-essential capital spending. As Tom mentioned, the cinema advertising management system has been a huge success and has laid the foundation for other sales and operational improvements in the future. 26:17 In the fourth quarter and for the full year 2021 integration and other encumbered theater payments due from AMC were $1.3 million and $1.6 million compared to $0 million and $1.4 million respectively for 2020. The AMC integration payments are based on what NCM could have earned, had advertising then sold in those theaters by our sales teams. As a reminder, these integration and other encumbered theater payments are added to adjusted OIBDA for debt compliance and partnership cash distribution purposes, but are not included in reported revenue or adjusted OIBDA as they are recorded as a reduction to net intangible assets on the balance sheet. 27:10 Turning to our balance sheet. Our total debt net of cash at NCM LLC at the end of 2021 increased $113 million to $1.05 billion compared to $936 million at the end of the year of 2020. Our average interest rate on all debt was approximately 5.5% for the full year 2021 compared to 5% for the full year of 2020, primarily due to the $50 million of new term loan B funded in the first quarter of 2021 and the amendment at that time. Excluding revolver balances approximately 68% of our total debt outstanding at the end of 2021 had a fixed interest rate. 28:02 NCM LLCs cash balance at the end of 2021 was $58.6 million and including the $6.8 million of availability under the revolver NCM LLCs total liquidity at year end was approximately $65.4 million, which was in excess of our liquidity covenant that requires a minimum liquidity of $55 million. 28:30 As I mentioned in my opening remarks at the start of 2022 we completed the funding of a new $50 million revolving credit facility and an amendment to our existing credit facilities. The new $50 million revolving credit facility significantly enhanced our liquidity position, which will help the company build its working capital back to normalized levels. The new revolving facility, which was fully drawn at close will mature with our existing bank revolver in June of 2023 and has an interest rate of SOFR was 800 basis points and a 1% SOFR floor. Simultaneously we also completed an amendment to our existing senior secured credit agreement which will provide a comfortable path for NCM to fully recover from the pandemic. The amendment included an extension of the suspension of our financial maintenance covenants until and including the quarter ending December 29, 2022. It also amended our net total leverage ratio and net senior secured leverage ratio for the first 3 quarters of 2023 when our adjusted OIBDA will begin to drive leverage levels down to historical levels. 30:01 In addition, as mentioned previously due to the improved liquidity and outlook, S&P upgraded National CineMedia LLCs credit ratings 1 notch to a corporate family rating and secure rating of B- from CCC+ and an unsecured rating of CCC from CCC-. As a result of the new financing, a better than expected Q4 and improved receivables collections NCM LLCs current cash balances are $86.7 million and including the $6.8 million of availability under the revolver NCM LLCs total liquidity is approximately $93.5 million, meaningfully higher than our $55 million liquidity covenant. 30:55 Our Board of Directors voted to maintain the NCM, Inc. quarterly cash dividend at $0.05 per share of common stock. This dividend will be paid on March 31, 2022 to stockholders of record on March 17 of 2022. The quarterly dividend will result in a current yield of 6.8% based on today's closing share price of $2.93. The NCM, Inc. cash balance will be approximately $39.3 million after payment of this most recent dividend, significant financial flexibility during the pandemic recovery. 31:41 This financial flexibility will continue to be proactively evaluated by the Board of Directors and management in order to maximize the alternatives associated with changes in our capital structure that may be required due to future debt maturities, which began in June 2023. As always, the declaration payment timing and amount of future dividends payable will be at the sole discretion of the Board of Directors who will also consider general economic and advertising market business conditions and the company's financial condition. 32:19 While our overall business conditions continue to improve and our revenue begins to recover, there continues to be some level of uncertainty related to the lingering impact of the pandemic on our business, making it difficult to provide annual revenue and adjusted OIBDA guidance. However, going forward we intend to provide quarterly guidance. For the first quarter which is a seasonally slower quarter we expect revenue and adjusted OIBDA to be much improved compared to the first quarter of 2021. We currently already have more than the majority of our first quarter national advertising booked compared to our internal estimates and our local and regional business is starting to recover as smaller businesses begin to recover from the pandemic. 33:18 We expect first quarter revenue to be $32 million to $35 million for a 487% to 542% growth compared to the prior year, due primarily by the upfront commitment secured last year. Again, given the slower seasonal first quarter and an increase in theater access fees associated with the cinema business recovery, we expect the first quarter of 2022 to have negative adjusted OIBDA of $74 million. In addition, due to the expected cash interest expense of approximately $14 million and approximately $1.6 million of CapEx sort of first quarter, we expect the first quarter to have in monthly cash burn of $6 million to $8 million. 34:10 Our core operating expenses for the full year of 2022 is expected to average approximately $6.5 million to $7.5 million per month. Which is a significant savings compared to our pre-COVID run rate of $9.5 million per month. Slight increases in core operating expenses compared to 2021 are expected to come from increased sales commissions because of higher sales levels, and restoring all employees to full pay. Capital expenditures for the full year of 2022 is expected to be $6.5 million to $7.5 million as we continue to judiciously invest in management systems and other growth focused initiatives. 34:59 In summary, our business is starting to turn the corner and we continue to see acceleration in business activity and increased interest in our coveted consumer demographic and our national reach. With the benefit of a solid calendar upfront completed last year we are very optimistic about the prospects of this coming [Technical Difficulty] despite the unprecedented challenges of the pandemic and evidenced by the record-breaking box office performance of Spider-Man it is clear that the cinema experience is still the best place for film makers to launch their films and the preferred place to experience their work. Strong momentum coming out of 2021, we are looking forward to an exciting and prosperous 2022. 35:49 With that, we will now open the lines for questions, operator?
Operator: 35:55 Thank you. [Operator Instructions]. We will take our first question from Eric Wold with B. Riley Securities. Please go ahead.
Eric Wold: 36:16 Thank you. Good afternoon. A couple of question, I guess, 1, thinking back to the Q3 conference call, you noted at the time that the '22 calendar upfront was running or tracking about 75% of 2019 levels. Can you just us an update of where that shaped out and kind of your thoughts on that relative direction?
Tom Lesinski: 36:44 Let me just sort of sort of find a way to frame this. The most important thing is, the upfront is still very much strong than where we had originally forecasted it to be. And the most important thing is, how it's correlating to the box office. If you look at the box office estimates for this year, the 75% tracking is very consistent with where we are from a box office point of view. 37:12 And importantly, we're doing a very, very good job of maintaining the premium pricing that we're known for as a company. So we're very pleased with how the upfront is going. As you know, we have another upfront starting literally this month, which is the broadcast and calendar upfronts really beginning for the fourth quarter of this year going into next year. So all things being said, every major advertiser who has been with us in the past is pretty much back in the upfront, more than 50 different brands are participating in the upfront or [indiscernible]. So we're very happy with the upfront, especially acknowledging that a lot of that upfront negotiating was happened whilst the Omicron variant and COVID was still running pretty rapidly in the country. 38:09 So we're pleased with where we are and we're pleased with the continued interest in our company from an upfront point of view.
Eric Wold: 38:18 Yeah. That's helpful. Maybe you could drill down a bit. So kind of beyond kind of an absolute number of an upfront maybe going to dive down into kind of the components that I would sort of speak in terms of how far in advance advertisers are kind of willing to commit or [indiscernible] how far in advance you are looking for their placements relative to pre-pandemic size of campaigns, CPMs. May be give a sense of just kind of the drivers of that versus just the overall size of the upfront itself?
Tom Lesinski: 38:50 As I mentioned on the prior quarter call, the most important metric we have as an advertising company is commitments people are making over multiple periods of time. So, as you know, the upfront is a year-long commitment. We believe it's a far better indication of consumer or advertiser interest in our platform. So in the case of this most current upfront basically people were committing a year ahead of time. And when you think about that, they were making a lot of those decisions while the mask mandates were largely in place and largely while COVID was still a big unknown compared to how much it's changed just in the last month. 39:35 It's really a pretty impressive indication that people are willing to make money or to put money down on the upfront. In terms of pricing, we've been able to maintain our premium position in the pricing category. As you know, Eric, we are next to the Super Bowl and the Academy Awards and probably the NBA finals is the most expensive CPM medium out there. So we're happy to be maintaining those kinds of levels on the upfront basis which you can imagine has been fairly difficult to do given the uncertainty of the box office. 40:11 In terms of the dollar amounts, we aren't providing that specific information on the upfront. But I think you can calculate based on the percentages we've given kind of where that lines up to 2019 levels.
Eric Wold: 40:26 Got it. And then just final question, obviously you've got good visibility into the upfront. You starting to see scatter demand loosen up so to speak and they've got to kind of reconfigured sales force on that. The main hold that from kind of providing even just the baseline annual guidance really just uncertainty around slate movement and some of that could pop up around COVID or is there is some uncertainty around at all around the safety net, so to speak of that upfront?
Tom Lesinski: 41:03 There is nothing COVID related right now that's really, I would say, affecting the scatter market. I think what's affecting the scatter market more than anything right now is the economy in general, supply chain, certain big advertisers like the car companies that have inventory issues and even as recently as the impact of things like the war. So we're not getting any real direct impact on scatter today related to COVID or attendance. 41:36 Having said that, the scatter market historically in the first quarter is always a little slow coming out of the holidays. And again it's by far the latest month that not only we have, but also that the advertising industry has. So I think come next quarter when we've got another quarter behind us and we've got outlook into Q2 will be a far better indication of how the scatter market looks for everybody, but we're pleased so far with how it's gone in Q4 and Q1.
Eric Wold: 42:08 Got it. Thank you.
Tom Lesinski: 42:10 Sure.
Operator: 42:13 Thank you. We'll take our next question from Jim Goss with Barrington Research.
Unidentified Participant: 42:18 Hi, this is [Pat] (ph) on for Jim. I was wondering if you could talk about, I guess, any [indiscernible] made in terms of attracting new advertisers to the platform. I know you mentioned crypto. And then just other categories might be performing less well versus where they were pre-pandemic [indiscernible] is going through supply challenges any others that are kind of maybe still struggling?
Tom Lesinski: 42:47 Yeah. Honestly besides crypto -- besides crypto of which there many, many crypto companies out there now that weren't around really even 6 months ago. We believe that the sports gambling gaming business is another new opportunity for us. And we believe sort of given the pervasive nature of that industry growing, that could be a big opportunity. 43:16 In terms of other areas that have not been productive. The only softness, honestly is the supply chain related car business. And that's not affecting just NCM, it's affecting the network business and the television business including these digital businesses. Having said that, we do have a very good business with some of the non-impacted chip companies, including the Korean brands. So you'll see advertising for example from Kia’s electric car on our platform today, and we recently did do a fairly good deal with a large US auto company. 43:51 So we believe the second half of the year is going to be a significant recovery for the car part of our business, but I can tell you that no individual category is any different than it was in 2019. And actually, we're quite happy with everything from the insurance companies, to electronics, consumer packaged goods, insurance, retail, I mean, every major category that has been with us in the prior upfront going back to 2019, all those categories are with us today, which is really -- I'm a little surprised by honestly. But I'm really encouraged by the support we're getting from those industries that have always been big fans of cinema advertising.
Unidentified Participant: 44:37 Okay, thanks. And then just lastly, I guess is still there is an opportunity to benefit from I guess political displacement. In general, broadcast?
Tom Lesinski: 44:52 I do think it's an opportunity, obviously, it's something that requires a lot of -- increment in terms of looking at the type of political advertising that exist, there is certainly advocacy advertising that is potentially less problematic. We want to make sure if we have political advertising which we historically haven't done that is not going to be anything that's going to upset anyone in the crowd. So it's another category that we hope to mine, especially going into the fourth quarter, but we want to be mindful that it's all about the movie experience in making sure that certain kinds of political advertising that being the more controversial it's just not a problematic situation for theater visitors.
Ronnie Ng : 45:41 Right. And Jim, your question on displacement, we certainly expect there to be some positive upside from that, in particular, in the third and the beginning of the fourth quarter.
Unidentified Participant: 45:58 Okay, thank you.
Operator: 46:02 Thank you. And that does conclude today's question-and-answer session. I would now turn the conference back over to management for any additional or closing remarks.
Tom Lesinski: 46:12 Okay. So as I’ve mentioned previously, we are very well positioned for the future as we leave this pandemic behind us, hopefully for good, and as we focus on the road ahead. Again, this last 6 months have proven out there is ample demand for the theater going experience and as such advertising demand for our hard to reach diverse 18 to 34 year-old demographics is very, very high. 46:35 With the progress we've made today with the execution of our business strategies and additional financings and amendments have positioned us very, very well in 2022 and beyond. In addition, the strong film slate in 2022 and the commitments by major studios to an exclusive window will ensure the growth of movie attendance. 46:53 I'd like to once again thank our senior management team and our whole staff for their hard work during these past couple of challenging years. And I particularly thank our shareholders and lenders for their support and patience. We truly appreciate you joining us on the call and hope that everyone continues to stay safe and healthy. See you at the movies. Look forward to it. Thank you very much.
Operator: 47:14 Thank you. And that does conclude today's conference. We thank you all for your participation and you may now disconnect.